Operator: Good afternoon, ladies and gentlemen, and welcome to the Blade Air Mobility Fiscal Second Quarter 2024 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would like to turn the conference call over to Matt Schneider, Vice President of Investor Relations and Strategic Finance. Matthew, you may now begin.
Matthew Schneider: Thank you for standing by and welcome to the Blade Air Mobility conference call and webcast for the quarter ended June 30th, 2024. We appreciate everyone joining us today. Before we get started, I would like to remind you of the company's forward-looking statement and Safe Harbor language. Statements made in this conference call that are not historical facts, including statements about future time periods, maybe deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties and actual future results may differ materially from those expressed or implied by the forward-looking statements. We refer you to our SEC filings, including our Annual Report on Form 10-K filed with the SEC, for a more detailed discussion of the risk factors that could cause these differences. Any forward-looking statements provided during the conference call are made only as of the date of this call. As stated in our SEC filings, Blade disclaims any intent or obligation to update or revise these forward-looking statements, except as required by law. During today's call, we will also discuss certain non-GAAP financial measures, which we believe may be useful in evaluating our financial performance. A reconciliation of the most directly historical, comparable, consolidated GAAP financial measures to those historical non-GAAP financial measures is provided in our earnings press release and investor presentation. Our press release, investor presentation, and our Form 10-Q and 10-K filings are available on the Investor Relations section of our website at ir.blade.com. These non-GAAP measures should not be considered in isolation or a substitute for financial results prepared in accordance with GAAP. Hosting today's call are Rob Wiesenthal, Founder and Chief Executive Officer of Blade, and Will Heyburn, Chief Financial Officer. I will now turn the call over to Rob.
Robert Wiesenthal: Thank you, Matt, and good afternoon, everyone. Let me make myself clear, we had a great quarter. Our strong Q2 2024 results marked Blade's first positive adjusted EBITDA second quarter as a public company with both our Medical and Passenger segments enjoying strong performance and contributing positive segment adjusted EBITDA in the quarter. And as a guidepost for those listening, we have beaten every key metric of our sell-side investment banking consensus estimates of the five banks that cover us. In Q2 2024 revenue increased 11.4% year-over-year, flight profit increased 57.7% year-over-year and adjusted EBITDA positive of $1 million improved by $5.4 million versus negative $4.4 million in the prior year period. I will now review our key business operational and strategic highlights starting with Medical. Medical achieved a record high revenue of $38.3 million in the quarter, up 6.4% sequentially versus Q1 2024 and up 11.5% versus the prior year period. Excluding the impact of our non-recurring support of a large hospital in the prior year period, Medical revenue increased 19% year-over-year. Medical segment adjusted EBITDA increased by 82.7% to $5.5 million in Q2 2024 versus the prior year period with margins expanding over 550 basis points year-over-year, also a record for the company. We closed on seven of the eight previously announced and committed jet aircraft acquisitions this quarter. While it's still early days, we're encouraged by both the value these aircraft provide to our customers and the initial financial performance of the fleet. While we continue to believe that the vast majority of our flying will remain with third-party owned and operated aircraft as part of our layered, asset light approach, we believe there is an opportunity to expand our fleet of owned aircraft given both the customer benefits and strong returns that we're seeing. In simple terms, these aircraft are already delivering 30% plus returns on invested capital. We expect to close on the eighth aircraft during Q3 2024. We made additional progress expanding our Medical ground logistics business and recently opened two new ground hubs bringing our total to eight. Medical ground revenue increased more than 50% year-over-year during the quarter and represented 12% of Medical revenue in the quarter. Will is going to provide more details on the financial performance and returns of our owned aircraft and ground vehicles. Moving to Passenger, revenue grew 11.3% versus the 2023 period, despite our discontinuation of the BladeOne seasonal jet service this year. We saw strong growth in our New York Airport transfer business benefiting from increased average checkout prices which averaged approximately $325 per seat during the quarter. We also saw strong growth in Airport charter. Additionally, we were pleased to see the number of Airport passes outstanding up more than 30% year-over-year. Airport passes renew annually and are typically held by our most active and loyal flyers. By purchasing a pass, customers are signaling that they expect to fly more than eight times per year. The significant improvement in the Passenger segment adjusted EBITDA this quarter year-to-date along with the decisive actions we're taking to drive further profitability improvements, that we'll discuss shortly, underscore our commitment to achieving positive trailing 12 months Passenger segment adjusted EBITDA in 2025 or earlier. In Q2, Passenger segment flight profit increased 57.6% year-over-year and Passenger segment adjusted EBITDA increased to a positive $0.8 million versus a loss of $2.1 million in the year ago period. This quarter, we restructured our Canadian operations to eliminate further losses and lay the groundwork for our ultimate exit from the Canadian market. This will happen within next year and could be completed as early as this month. We simply did not see a near-term path to profitability using conventional rotorcraft. We remain enthusiastic about the long-term opportunity for electric vertical aircraft in Western Canada and have structured our exit to maintain multiple paths to re-launch Canadian operations when the business can take economic advantage of the shift from conventional rotorcraft to electric vertical aircraft. Similar to our decision to discontinue the BladeOne seasonal by-the-seat service between New York and South Florida, we're making the prudent choice to exit an unprofitable business line and to focus our resources on the core routes in our Passenger segment with limited or no competition and pricing elasticity enabling a path to sustainable profitability. In Europe, we're encouraged by the early results of the steps we've taken to streamline our commercial organization and cost structure. Europe resumed year-over-year revenue growth during the quarter. We look forward to providing regular updates on our progress here. Back in March, our board authorized a $20 million share repurchase program, and we executed our first share repurchases under the authorization this quarter, eliminating approximately 80,000 shares. In addition, we changed our restricted stock unit tax withholding method to withhold-to-cover from sell-to-cover during the quarter, deploying approximately $1 million of balance sheet cash to retire an additional 332,212 shares at approximately $2.94 of share. We will continue to evaluate the optimal RSU tax withholding method in future periods. We're focused on maintaining a strong balance sheet and our capital allocation priorities are focused on low-risk, high-return investments in Medical aircraft and ground vehicles as well as bolt-on acquisitions in Medical that enhance our competitive position or enable the expansion into other time critical logistics verticals. It is imperative to us that we are convinced these investments are accretive on day one. We will continue to weigh these priorities relative to further opportunistic share repurchases as well. With that, I'll turn it over to Will.
William Heyburn: Thank you, Rob. I'll now walk through the financial highlights from the quarter, starting with Medical. Medical segment revenue rose 11.5% year-over-year in the first quarter to $38.3 million, and rose 6.4% sequentially versus Q1 2024. As discussed on prior calls, we provided temporary support to a large hospital customer last year, which generated $2.2 million of revenue in Q2 2023. Excluding the impact of this temporary customer, Medical revenue would have increased 19% year-overyear. Medical continued to see improvement in profitability as segment adjusted EBITDA rose 82.7% year-over-year to $5.5 million in Q2 2024. Medical flight margin increased 700 basis points year-over-year to 23.6% versus 16.6% in the year ago period and increased 130 basis points sequentially versus 22.3% in Q1 2024. This margin expansion was driven primarily by our aircraft acquisitions, growth in our Ground Logistics business and an increase in average revenue per trip. Our Medical customer value proposition has never been stronger and we are committed to further enhancing our offering by investing in our owned and dedicated aircraft fleet, expanding our Ground Logistics business and scaling our organ placement service offering. Now that we have several months of ownership under our belt, we've updated our aircraft profitability and return models with real-world data and we're very happy with the performance we're seeing. The results provide strong support for increased aircraft ownership in areas of high Medical customer density. Compared with non-dedicated third-party aircraft, we are targeting a 10 to 20 percentage point flight profit margin increase, meaning that 10 to 20 additional percentage points of revenue will drop down to the bottom line, net of depreciation, when utilizing our owned aircraft. This represents a 30% plus return on invested capital and an average payback period of approximately three years. Note that this analysis only considers the incremental profit relative to nondedicated thirty-party aircraft. The profitability and return profile would be substantially higher if one were to consider 100% of the profit generated by customers using the aircraft. We also analyzed the return on investment in ground vehicles. We currently operate a fleet of over 30 ground vehicles across eight hubs and we're seeing a payback period of less than one year, creating a great opportunity for continued investment in this area with excellent returns. In summary, the aircraft and vehicle investments we're making in our Medical segment represent an attractive risk adjusted return profile, and future investments in these areas are high on our capital allocation priority list. Looking at the transplant industry broadly, fundamentals remain strong with United States heart, liver and lung organ transplant volume growth persisting in the high-single-digit range during Q2 2024. In short, we're very happy with the growth in the industry and our positioning within it. We're honored to play our small role in helping more Americans than ever receive the organs that they need. Turning to our Passenger business. Short Distance revenue increased 9% year-over-year driven primarily by approximately 20% growth in Airport and mid-teens growth in Europe. In Jet and Other, revenues increased 17.4% year-over-year driven primarily by strength in Jet Charter and other non-flight revenue, partially offset by our discontinuation of the BladeOne seasonal jet service. Our focus on profitability improvements in Passenger continues to bear fruit with flight Profit margin expanding more than 700 basis points year-over-year and segment adjusted EBITDA improving $2.9 million year-over-year to positive $0.8 million. The profitability improvement in passenger was driven by several factors including pricing and efficiencies in our New York Airport transfer product, growth in Europe and improvements in Jet Charter. As Rob mentioned earlier, we made the decision to exit the Canadian market, which had been consistently unprofitable for us. We expect to finalize our exit as early as this month, but have already completed a restructuring that will ensure we do not incur additional losses this year. Given this decision, we are writing off the remaining intangible assets held on the balance sheet related to Canada of $5.8 million. Finally, we've continued our focus on controlling overhead costs with adjusted unallocated corporate expenses shrinking about a percentage point year-over-year this quarter. On the cash flow front, the difference between our adjusted EBITDA of $1 million and cash from operations of $8.4 million in the quarter was primarily driven by the structure of our aircraft purchases, which were all acquired from owners and operators with whom we had pre-existing capacity purchase agreements. As a part of those capacity purchase agreements, we made deposits, $9.3 million of which we applied towards the purchase of seven aircraft in the quarter. The deposits have been booked in prepaid expenses, thus they were a source of cash in Q2 as we unwound the preexisting agreements and purchased seven of the aircraft outright. Excluding aircraft acquisitions in Q2 2024, cash from operations would have been a use of less than $1 million with the delta versus adjusted EBITDA being driven primarily by working capital related to Medical growth. Our capital expenditures which, inclusive of capitalized software development costs, were $16.9 million in the quarter were driven primarily by $14.6 million in total payments towards the first seven aircraft acquisitions. $9.3 million applied from our deposits, a $5.5 million cash payment and a small non-cash adjustment. We ended the quarter with no debt and $142 million of cash and short-term investments, providing flexibility for strategic investments in aircraft, acquisitions in Medical and opportunistic share repurchases. Looking ahead into the balance of the year, Q3 is off to a great start with solid growth in our seasonal Short Distance businesses while Medical remains strong. As such, we are reiterating our 2024 and 2025 financial guidance and we believe our first half 2024 results put us on very solid footing to achieve these targets. In Medical, our first half 2024 results both in terms of revenue and segment adjusted EBITDA came in above our expectations with sequential revenue growth averaging over 9% in the first two quarters of the year. Most of the beat was driven by volumes that were well above the norm at the majority of our contracted transplant centers. In our experience, transplant volumes tend to be lumpy and periods of above average volumes often mean that our hospital customers need to rebuild their organ transplant recipient pipelines. Given this very strong performance in the first half of the year, we expect Medical revenue and adjusted EBITDA to be flattish in Q3 relative to Q2, before resuming low single-digit sequential revenue growth. In terms of year-over-year growth expectations, Medical revenue grew 22% year-over-year in the first half of the year and we expect similar revenue growth in the second half of the year. In Short Distance, we expect single-digit year-over-year revenue growth in the back half of the year, excluding the impact of our Canada exit. Note that Canada contributed approximately $2 million and $3 million in revenue during Q3 and Q4 2023, respectively, which, depending on the exact timing of our exit, may not reoccur. Jet and Other had a very strong Q2 2024 but the results are inherently volatile in this product line and we expect quarterly revenue to be in the $5 million range in the second half of the year. Passenger segment adjusted EBITDA should see further year-over-year improvements in both Q3 and Q4 2024. We expect adjusted unallocated corporate expenses to be flat to down sequentially for the remainder of the year relative to Q2 2024. I would also like to quickly highlight the updated and comprehensive investor presentation we published this afternoon. We've added detail around our growth and value creation strategy in both Medical and Passenger, including the return profiles of our recent aircraft investments. We hope you find it useful. With that, I'll turn it back over to Rob for a few closing remarks.
Robert Wiesenthal: Thanks, Will. Before we turn it over for questions, I'd like to make a few brief comments regarding the current economic environment. Our company was designed specifically not just to weather an economic storm, but to thrive in one. The majority of our revenue and nearly all of our profit is generated by our organ transportation business where we provide an essential service supporting the life-saving activities of hospitals, a key priority of the US healthcare system that has historically been recession-proof. This contractual business is the only area in which we have invested in aircraft ownership. Our Passenger business serves a predominately a top-tier, affluent consumer, who have proven to be much more resilient in a recessionary environment, and operates with zero aircraft ownership, making the cost structure highly flexible, as evidenced by our consistent Passenger flight profit performance during the pandemic. Irrespective of the recent market dislocation, we're halfway through the summer high season for our Short Distance business and we have seen no weakness, in fact, we've seen growth in Q3 to-date. In short, we believe we are extremely well positioned for varying economic environments and, in fact, any market dislocation should create attractive opportunities for us to deploy our strong balance sheet for bolt-on medical acquisitions, investments in aircraft and opportunistic share repurchases. With that I'll turn it back over to Matt for Q&A.
Matthew Schneider: Thanks, Rob. We'll start by taking questions from the analyst community and we'll follow with a few questions from the Say Q&A platform. I'll now turn it over to the operator for analyst questions.
Operator: Thank you. At this time, we will conduct the question-and-answer session. [Operator Instructions] Our first question comes from Jason Helfstein of Oppenheimer & Co. Inc. Your line is now open.
Jason Helfstein: Hey, everybody. So a few questions. So, now that you've exited Canada, I mean, basically while there's still seasonality in it like the Passenger gross margin, 25% we saw, that should generally that should be like give or take the run rate going forward. So that's just kind of question one. I guess there's probably still some seasonality maybe what in first quarter, but just maybe talk to that. And then I guess second question on just like further initiatives to try to kind of how you're thinking about growth in airport and other partnerships or other initiatives to kind of boost that? And then housekeeping will the $5.8 million impairment that was in G&A, I think. Is that right? And is there anything else just to strip out of that? Because I think if you take that out, it would have been up like $2 million-ish, so just double checking that. Thank you.
William Heyburn: Hey, Jason. I'll take one and three there. You're correct on the $5.8 million that flow through G&A on the Passenger side. On Canada, as we mentioned, it was a loss making business and it was pretty small. So don't think it will have a particularly material impact. But if anything, flight profit margins could be a touch better. From a seasonality perspective, it was counter seasonal to the rest of our Passenger businesses. So the bulk of that revenue flowed through in Q1 and Q4. So we told you on the prepared remarks that we expected it to be about $2 million of revenue in Q3 and $3 million in Q4 and could end before the end of the year. But that's sort of rough seasonality there. And then Rob just on Airport.
Robert Wiesenthal: Well, yeah, just in Short Distance in general, Jason, and also on Airport with respect to growth. You've seen the JetBlue deal we did, which really drove a lot of passengers to us. The fare classes continue to outperform our expectations. We've taken in pricings. You saw our average price and I kind of think the $330 range, which is obviously very strong, but not a type of price that's going to scare people because you can't these are basically based on add-ons and also fare class. So if you want to kind of travel on a budget, you have ways of going for $195. Also you saw an interline deal with Emirates. That's terrific because now on the GDS system and when you're booking, if you want to fly anywhere in the world from where Emirates flies to Monaco, your last leg will automatically be a BLADE helicopter if you so choose. So we're hoping for more of these types of interline deals. We have two more kind of hopefully coming. We also did a deal with the Bilt credit card, which has been driving a lot of traffic in the New York area, where people who pay rent get to use a Fly Blade purchased by Bilt. Again these are all paid for. And then also, we had hotel deals with Marriott. We're on your confirmations for the St. Regis, the addition of Ritz-Carlton, everybody getting an opportunity to fly airport. And then also on our leisure routes, specifically in Long Island. We push really hard on things outside of East Hampton, Jason, where we're seeing good growth from places like Southampton and Sag Harbor. So I think overall I feel good about it both in terms of pricing, both in terms of customer acquisition and also on the growth in new routes.
Jason Helfstein: And just one follow-up. Just any comment just broadly people are a little more I think a little more concerned about the outlook for the consumer. Obviously, on your consumer side, it's more affluent consumer, but anything to tell you that like your customers are pulling back or kind of no change?
Robert Wiesenthal: I would say July was very exceptionally strong for us on the Short Distance side. So we have not seen anything yet. I would say on the leisure side, I really view it as kind of if you look to the luxury brands, the ones that did not see kind of any kind of deterioration, I kind of put our leisure market on in that category. But when you think about airport, obviously, we're competing with Uber. Uber Blacks are very expensive right now. Haven't seen it yet, still seeing decent growth, but we're keeping our eyes open like everybody else.
Jason Helfstein: Thank you.
Operator: Thank you. Our next question is coming from Edison Yu of Deutsche Bank. Your line is now open.
Edison Yu: Hey, thank you for taking our questions and congratulations on the strong quarter. First one is, it sounded as if the return profiles are quite strong for the aircraft you're buying and even on the ground. Do you have some sense, how much more you would consider kind of bringing on board until where that maybe doesn't make sense anymore? Just curious how much more leverage we can potentially get on this.
William Heyburn: Sure. You're right, Edison. We're seeing great returns from the aircraft and we do see an opportunity continue to expand that program. We're always going to be an asset-light business. But if you saw on our new investor deck, only about 10% of our total flying in the 2024 period is expected to be using those new aircraft that we own. So we think we have a fair amount of room to continue to expand that program. And you're paying back the aircraft in three years or less. On the ground side, we're proceeding with a hub model. So we're looking at areas where we have the right amount of density to own our own vehicles and then we're paying them back in less than a year. So you'll see us continue to add those vehicles. Obviously, smaller ticket price. So you're not going to see as much of an impact to the P&L, but still very accretive investments on both fronts. So I think low single-digit number of aircraft is something you could expect as incremental adds coming up over the next 6 to 12 months is probably what I would think about there.
Edison Yu: Understood. Also, I think in your remarks you said Europe was actually pretty strong, maybe I heard wrong, like mid-teens growth. Do you expect that to be strong in the second half to continue to do well in the second half?
William Heyburn: Look, Europe is, we're pleased with how it went in Q2. As you know, about 50% of that business happens in Q3. So we got to see how the summer goes, but we're happy with the operational turnaround that we've done. We're happy with the growth that we've seen both in Q2 and the growth that we've seen for the parts of the year that have come through. But there's a big part of the season that's left to come. So we'll reserve common until we get through that seasonally busiest period.
Edison Yu: Got you. And just last one on the buyback. I sort of missed, I think, the second part. You had mentioned you bought, I think, 80,000 shares back, but you also changed something with the RSU. Can you just go over that again? I didn't quite catch all of it.
William Heyburn: Yes. So we had two ways to kind of remove shares from the flow. We have the $20 million buyback authorization, which we did use during the period to repurchase about 80,000 shares. But separately from that, we changed our tax withholding method for employee stock units to withhold for cover. So essentially what happens there is when employees have stock that vests, instead of selling those shares to cover the taxes, we take them from the employees and we pay the taxes directly off the balance sheet. So it's essentially the same kind of mechanism and we use that to eliminate another 332,000 shares for about $1 million during this quarter. Does that make sense?
Edison Yu: Yes. Okay. Got you. Great. Thanks a lot for the insights.
William Heyburn: Yes. Thanks, Edison.
Operator: Thank you. Our next question comes from Bill Peterson of JPMorgan. Your line is now open.
Bill Peterson: Yes, hi, good afternoon and thanks for taking the questions and nice job on the quarterly execution. On the Canada exit, I think, it's understandable, but I guess what would you say your learnings are from this? Clearly, there was just some excitement about acquiring this a few years ago. How would you apply this to potentially future acquisitions in North America or globally? And maybe to that point, do you see any attractive markets? Would you consider entering any markets, I guess, ahead of EVA in order to sort of fend off competition?
Robert Wiesenthal: Sure. It's Rob speaking. I think this was a unique situation in the sense that when we did this deal, it was during COVID, and we do that the bulk of the flyers were essentially government workers going between Vancouver and Victoria. Victoria being kind of almost like the Washington DC of the province. And we were confident at the time that there would be a recovery to kind of back to work. And what actually happened was they didn't go back to work. The meetings largely became on Zoom. This business did not have a tourist business, tourism business in terms of people more called leisure travelers, but it's a business traveler, and they were unduly hurt by this. We gave it some time for it to recover. And frankly we don't have any confidence that those meetings, which were previously in person by the government are coming back. They just it's been a long slog in Canada in terms of back to work. You don't see the same kind of reaction post-pandemic there that you do see here. So what we did was, we acted quick and we made a really tough decision and said, you know what, this is not profitable. We've got to focus on our core markets. This is tertiary, but let's structure this in a way that when EVA is here and it becomes economically viable to return to this market, possibly for leisure and having more landing zones, we retain that option to get back in the market. Our focus is on profitability. All right. And right now we're not going to sit and wait for the unknown. And frankly, we have so much capability here in North America and Europe, which are the premier markets for us to operate in that I think that, that's where we're best served, both accelerating our path to profitability, but also retaining our ability to really focus on these key markets. And to your final part of the question, which is where else can you do this, we've been steadfast in saying to all people, I mean, to all investors that these are the markets that make sense. You need markets that are either congested or geographically contested. And those markets are New York and Southern Europe. I think the idea of flying between cities and places like for the time being like Dallas or in Orlando between the airport downtown where you just don't have the friction that you have in places like New York and Europe, it's going to be ways off. You're going to require new landing zones. And so that's really where it is. I think when EVA is here, electronic vertical aircraft and then the second phase of that will be new landing zones. Clearly, cities like Paris and London, Los Angeles, those are going to be in the hit list, but those are ways off. Our focus is on that today but and then tomorrow, but going to the point where not only EVA is certified and deployed, but when governments allow new landing zones. For the time being, we believe we're in the right place.
Bill Peterson: Yeah, no, I understood. The slide you have on the various forms of medical, financial drivers and the target margins kind of implies you see some pretty significant further upside in flight margins. But I guess I do recognize this could be lumpy. Maybe some quarters ground is heavier versus other parts. But how should we think about the trajectory of flight margins over, let's call it, the next sort of 12 to 18 months, at least how you see the various parts of the market forming amongst owned, ground, organ placement and so forth?
Robert Wiesenthal: I mean so most recently we've set a goal for ourselves that we're, essentially, it's out there to get to 25% flight margin in Medical by the end of this year. So we're continuing to march towards that goal. But I think you see from the new slide that we added to the deck that a lot of the ways that we move this critical cargo, we're doing a much better flight margin than that. So I think you nailed it, Bill, to the extent we can shift our mix a little bit more towards owned aircraft, continue to build that organ placement business and then continue to see ground growing faster than the rest of the business as we roll it out to more of our existing customers, ground grew about 50% year-over-year in this Q2, there's opportunities to go, over time, beyond the goal we set for this year.
Bill Peterson: Okay. Yes. Thank you. And I'll get back in the queue. Thanks.
Operator: Thank you. Our next question comes from Jon R. Hickman of Ladenburg Thakmann. Your line is now open.
Jon Hickman: Hi. Can you hear me okay?
William Heyburn: Yes.
Jon Hickman: Okay. Will, could you elaborate a little more on the G&A costs? If you take out the write-off for Canada, that puts your G&A at about $19 million? Is that the number you want us to go flat with for the rest of the year?
William Heyburn: Which G&A are you? I would look on our earnings press release and you see we give you the non-GAAP financial results there in that second table. And so your total adjusted SG&A on that page, $15.8 million for the quarter. So I would if you're looking for a clean cash number, that's the number that I would go with, Jon.
Jon Hickman: Okay. And then could you guys elaborate a little bit on, I know you keep pretty close tabs on what's happening with EVAs. Could you -- are you still thinking maybe those arrive sometime next year?
Robert Wiesenthal: Hi. It's Rob speaking. Nice to hear from you, Jon. With respect to the EVA, I mean, obviously, while we speak to everybody and I think we have a good visibility into it, you've got to speak to the developers of the aircraft to get their best sense. But what we're seeing is a focus by the leaders, such as Joby and Archer, to focus on the Middle East. And so clearly, their first deployment will be there. That feels like '25, '26. With respect to the US, I still think there's hope for '26 in the US and that will probably be a little bit more, call it, exhibition style in terms of not the kind of missions, not the kind of volumes that you see us doing with conventional aircraft here in the US and in Europe. And then, most importantly, I think you're going to see a lag, Jon, between when these aircraft are certified and available for commercial use and when new landing zones are available. And really to unlock electric vertical aircraft, you need to create those new landing zones. The big markets with lots of traffic where you really need that urban air mobility are a bit locked out in terms of existing landing zones. And it takes time, even in the EVA world, to get those kind of permissions from all the various stakeholders.
Jon Hickman: Okay. Thanks. One last question. Do you have a presence in the medical side of things in Canada or just the US?
Robert Wiesenthal: It's just the US business.
Jon Hickman: Okay. Thank you.
Robert Wiesenthal: Thanks, Jon.
William Heyburn: Thanks, Jon.
Operator: Thank you. This concludes the conference question session. I would like to turn it back to Matt Schneider.
Mathew Schneider: Great. Now we'll take a few questions from the Say Q&A platform. The first question is on the Marriott partnership and will there be more partnerships like this. Rob, why don't you take that one?
Robert Wiesenthal: Sure. Very excited about the Marriott. It's actually the Marriott Luxury Group, which includes hotels such as St. Regis, the EDITION, the Ritz-Carlton. And so the ability -- we've talked about this before, you want to get, especially for airport, you want to get to your potential passengers at the moment of truth. And that moment of truth is booking. So the ability for someone to get a confirmation in the mail once they've booked their hotel room to say, hey, why don't you Fly Blade, and we'll help you take care of it, and we'll give you a special rate, what have you, and we'll make it easy for you, that's just a great catalyst for a conversion. Because the next thing someone does after they've booked a hotel room is they usually book their flight. So we're top of mind. We think we're going to see great conversion there. And these are some of the best hotels in New York City. And it's a great rifle shot for our kind of high-end consumer for airport, the same kind of consumer that would be a traveler that would be taking an Uber Black. And I do think we'll see more partnerships like this in the future, both in travel and hospitality. I mentioned the JetBlue deal. I mentioned the interline agreement with Emirates. I mentioned Bilt credit card. I think you'll see other credit card deals. The more we can get in front of the customer, the more we can get them when they're thinking about their travel, the more conversion we'll have. And then that's how we're going to enjoy growth here.
Mathew Schneider: Great. We're just going to take one more question from the platform because we addressed most of the questions on the call today already. The next question is on profitability. Will, why don't you take this one? The question is, what's the plan for achieving profitability? And what is the expected timeline?
William Heyburn: Thanks, Matt. Well, we reaffirmed our guidance for a positive adjusted EBITDA year, this year, in 2024, and double-digit adjusted EBITDA next year in 2025. So that's the expected timeline. And the good news is we have a lot of different ways to get there and we're firing on all cylinders across the board. In the Medical business, you're seeing our flight profit margins expand as we continue to roll out the owned aircraft fleet and expand the size of our dedicated aircraft fleet. And also we're growing some of these high-margin ancillary services, like ground and like our organ placement services, that will also help us add to the overall revenue base and the overall profitability of that business. And then, as Rob mentioned earlier, we're focused on profitability in the Passenger business. Take something like airport. We've continually optimized both in terms of our pricing and add-on options and the number of people that flow through that product to take it from last year when it was a negative flight profit business to this year when it's contributing positively to the flight profit line. Europe improved in Q2 year-over-year. And you're seeing our discipline as we exit unprofitable routes and focus on our core where we see long-term paths to sustainable profitable growth.
Robert Wiesenthal: I think the one thing I just would like to add to Will's comments, the fastest way to profitability is not only growth, but it's making tough decisions quickly. And not only we're doing that with -- we did with Canada. We're doing that with SG&A. We're focusing on our core markets and really just making sure that we're doing -- we're focusing on where we are most competitive, in certain areas, where we have zero competition, where we have pricing power and expanding on the base that we have, where we know we're as bulletproof as possible. That's how we're going to get to profitability quickly. And I'm really pleased not only with this quarter, but on the trajectory that we're at.
Mathew Schneider: I think that's a great way to end the call. Rob, I'll just turn it over to you for any closing remarks.
Robert Wiesenthal: No, I think that, those are my closing remarks. I would just say we appreciate the time. We also encourage all investors, large and small, to reach out to us, if you want to have calls, if you want to have questions via email, email us at investors@blade.com. We really do look forward to working with you and helping you understand our company because we're -- and hopefully getting you as excited about it as we are excited about our future. So thank you for your time and we'll speak to you next quarter.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.